Operator: Welcome to the Getty Realty Corp. Fourth Quarter and Full-Year 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Joshua Dicker, Vice President and General Counsel and Corporate Secretary. Please go ahead.
Joshua Dicker: Thank you. I would like to thank you all for joining us for Getty Realty's quarterly earnings conference call. Yesterday afternoon, the Company released its financial results for the quarter and year ended December 31, 2015. The Form 8-K and earnings release are available in the investor relations section of our website at gettyrealty.com. Certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to trends, events and uncertainties that could cause actual results to differ materially from those described in the forward-looking statement. Examples of forward-looking statements include our 2016 guidance and may also include statements made by management and their remarks in response to questions, including regarding lease restructuring, future Company operations, future financial performance and the Company's acquisition or redevelopment plans and opportunities. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. I refer you to the Company's annual report on Form 10-K for the fiscal year ended December 31, 2014 as well as our quarterly reports on Form 10-Q and our other filings with the SEC for a more detailed discussion of the risks and other factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. You should not place undue reliance on forward-looking statements which reflect our view only as of the date hereof. The Company undertakes no duty to update any forward-looking statements that may be made in the course of this call. Also, please refer to our earnings release for a discussion of our use of non-GAAP financial measures including our revised definition of AFFO and our reconciliation of those measures to net earnings. With that, let me turn the call over to Christopher Constant, our Chief Executive Officer.
Christopher Constant: Thank you, Josh. Good morning, everyone and welcome to our call for the fourth quarter of 2015. With Josh and me on the call today are Mark Olear, our Chief Operating Officer and Danion Fielding, our new Chief Financial Officer. I will begin today's call by reviewing our 2015 performance and then pass the call to Mark to discuss our portfolio in more detail and after Mark, Danion will discuss our financial results and our 2016 guidance. We produced another strong quarter for 2015. Excluding $10.8 million of one-time income received from the Marketing Estate during the quarter, our AFFO per share for the quarter was $0.36 representing a 6% year-over-year increase and excluding certain nonrecurring charges which Danion will discuss, growth would have been approximately 14% for the quarter. For the year, we produced AFFO per share of $1.39 excluding $18.2 million of one-time income from the Marketing Estate which represents a 10% annual increase over 2014. We also significantly enhanced our portfolio in 2015. We completed numerous transactions during the year which both increased the number of properties in our net leased portfolio by 16% and reduced our transitional properties which include those we're selling, releasing or redeveloping by 77%. These transactions represent significant accomplishments for our Company and position us well for consistent growth as we move forward. As I mentioned a few moments ago, we received $10.8 million from the Marketing Estate during the fourth quarter and $18.2 million for the year. These amounts represent our final distributions from the Marketing Estate. Marketing is now fully behind us and we're focused solely on the future of the Company. We also continued to strengthen our balance sheet. We ended the quarter with steadily improving credit metrics and a significant reduction in our environmental liability. Lastly, this past November, our Board increased the recurring cash dividend to $0.25 per share or an annual run rate of $1 per share representing a 13.6% increase in the recurring rate for the quarter. As we move forward, we will look to build upon our steady growth and continue to enhance the quality of our net leased portfolio. We will also benefit in 2016 from our accretive acquisitions from last year. Finally, I would like to formally welcome Danion Fielding to the Getty team as our new CFO. With Danion's experience and proven track record in capital markets and real estate finance, he is a great asset to us. When combined with Josh and Mark I believe we have an outstanding leadership team and are well poised to move forward and successfully implement on our plans and strategies. We're all energized and determined to build on the past year of progress and create additional shareholder value as we move forward. With that, I will turn the call over to Mark Olear to discuss our portfolio and investment activities.
Mark Olear: Thank you, Chris. We certainly had an active year. For 2015, our investment activity totaled $220 million. We acquired 80 properties for the year, most of which was related to our 77 site portfolio transaction which we completed in the second quarter of the year. Also included in our full-year totals was approximately $1 million spent on our first completed redevelopment project. Our portfolio acquisition is performing well and provides us with additional geographic reach into key markets in the West Coast and in Colorado. On the disposition front, we completed 12 sales for $2.9 million in the aggregate during the quarter. For the year, we sold 84 properties for $25.1 million in the aggregate. These were assets that we determined would have required additional capital investment and/or were located in markets and in areas that we did not believe would justify additional capital relative to our expected return. We also had a very active quarter and year on the leasing front. During the fourth quarter, we leased 46 properties and for the year, we leased a total of 58 properties. Our activity for the quarter included 42 properties in Connecticut and in Massachusetts which we had previously leased to NECG Holdings Corp, a lease which had been problematic for us for some time. We now have higher quality tenants in these properties and from an economic perspective, the new leases are relatively cash flow neutral. With the completion of these leasing projects, we have completed the vast majority of the restructuring associated with the NECG lease. The cumulative result of our transaction and leasing activities is that we ended the year with 805 net leased properties and 46 transitional properties. Our weighted average lease term is approximately 12 years and our overall occupancy is 97.3%. As we move into 2016, we continue to be encouraged by opportunities we have to grow the Company. We continue to see quality opportunities within the convenience and gas sector to expand our portfolio and we will be extremely disciplined as we evaluate and determine which opportunities to add to our Company. These prospects involve both the purchase of new sites and the conversion of certain of our existing properties to newer state-of-the-art c-store concepts. Subsequent to the end of the quarter, we placed our first redevelopment project in service. The project, a build to suit in Salem, New Hampshire added a Mattress Firm retail store to our portfolio and represented a 13% return on our investment. We're also working on a number of redevelopment projects where we're converting our properties to alternative uses. While we do not have anything definitive to provide at this time, as these projects get underway, we will furnish updates throughout the year. With that, I turn it over to Danion.
Danion Fielding: Thank you, Mark. I am excited to be here and be part of the team. Turning to our results, as Chris mentioned, we had a great quarter and year. For the fourth quarter, our total revenues from continuing operations increased by 17% to $29.8 million and our contractually due rental income which excludes tenant reimbursements, increased by 18% to $23.7 million. Rental income growth for the quarter was driven primarily by the impact of our acquisitions. On the expense front, property costs improved by 9% for the quarter. Its meaningful reduction can be attributed to declines in rent expense and maintenance expenses, offset by an increase in pass through real estate taxes paid by the Company. Our environmental expense increased by $100,000 for the quarter relative to the same period last year. The increase was due primarily to additional legal fees and non-cash accretion expense. For the quarter, G&A was up by $200,000, but this increase was primarily due to a net $200,000 of one-time employee related expenses. One additional item to mention is $700,000 of non-recurring maintenance costs which were incurred at one of our transitional properties during the quarter. This expense is including a loss from operating activities and discontinued operations and it's worth noting that it impacts both FFO and AFFO. As a result, for the quarter our FFO was $15.2 million or $0.45 per share excluding funds received from the Marketing Estate which represented an increase of 18%. AFFO was $12 million or $0.36 per share excluding funds received from the Marketing Estate which represented an increase of 6%. For 2015, our total revenues from continuing operations increased by 11% to $110.7 million and our contractually due rental income which excludes tenant reimbursements, increased by 14% to $88.4 million. Rental income growth for the year was once again driven by the United Oil transaction. On the expense front, property costs declined by 1% for the year. This reduction can once again be attributed to declines in rent expense and maintenance expenses offset by an increase in pass through real estate taxes paid by the Company. Our environmental expense was up $1.6 million for the year. The increase was due primarily to additional legal fees and non-cash accretion expense. For the year, G&A was flat when you exclude a net $700,000 of one-time employee related expenses and $400,000 of acquisition costs. G&A as a percent of revenue for the year represented 15.3% compared to 15.8% in 2014. As a result for the year, our FFO was $15.9 million or $1.50 per share excluding funds received from the Marketing Estate which represented an increase of 12%. AFFO was $47 million or $1.39 per share excluding funds received from the Marketing Estate which represented an increase of 10%. Turning to the balance sheet, we ended the year with $319 million of borrowings, $144 million on our credit agreement and $175 million of long term fixed-rate debt. Our debt to total capitalization currently stands at approximately 35% and our net debt to EBITDA at year end was 4.8 times. Our weighted average borrowing cost was 4.6% at year end and the weighted average maturity of our debt is approximately 4.5 years with 55% of our debt being fixed rate. Our environmental liability ended the year at $84.3 million, down $7.2 million for the year. For the quarter ended December 31, 2015, the Company's environmental remediation spending was approximately $8.6 million and for the year, our environmental remediation spending was $19.1 million. It is important to note that the net number on our balance sheet is also impacted by additions to the principal amount of the liability and accretion since GAAP requires us to build the liability on a present value basis. Finally, our 2016 AFFO per-share guidance is $1.40 to $1.45 per share. Our guidance does not assume any acquisition or capital markets activity although it does reflect our expectation that we will continue to execute on our leasing and disposition activities. It's also assumes we continue to execute on our existing redevelopment pipeline. With that, I will turn the call back to Chris.
Christopher Constant: Thank you. That concludes our prepared remarks, so let me ask the operator to open up the call for questions.
Operator: [Operator Instructions]. And we will take our first question from Anthony Paolone from JPMorgan.
Anthony Paolone: Can you give a sense as to how much is left to go in terms of sales of non-core assets, both in terms of numbers of properties as well as perhaps rough dollar amount?
Christopher Constant: We ended the quarter with 46 transitional properties, a portion of those we're trying to dispose of. I think we don't give specific guidance but just given the sheer number of properties that we have left to sell, I think you we'll continue to see that the number of sites and our proceeds declined as they have been year over year.
Anthony Paolone: Okay. And what's the NOI from those properties? Is it profitable or break even, loss?
Christopher Constant: It's a de minimis amount if any, NOI contribution from those properties.
Anthony Paolone: Okay. So effectively as those get sold, that's just cash that could be deployed to [indiscernible] income.
Christopher Constant: Correct.
Anthony Paolone: In the quarter, trying to figure out the discontinued ops. You didn't sell a lot in terms of dollar amounts but I think your discontinued ops if you try to back into what was in there, it seemed like a high annualized operating income rate against the dollar amount that was sold. I'm guessing there's some stuff in there maybe.
Christopher Constant: There is. Any loss from operating activities in the disc-op area, there is a fair amount of non-cash environmental charges that flowed through that figure. What I would say is those, as we've said all along, are very hard to predict. They're volatile and move around quarter to quarter but from an AFFO perspective, we back those out.
Anthony Paolone: So on what you sold, was there any real NOI on those properties?
Christopher Constant: Again, very little if any.
Anthony Paolone: Okay. In terms of the environmental costs on the income statement, it's $900,000 and change in the quarter. What was the cash amount for that line item as well as -- usually there's a component of cash environmental costs that are generally capitalized. What was that in the quarter as well?
Christopher Constant: There are two components of environmental costs. There's what I call the management expenses which are legal and professional fees and then there is the true spending which is what goes against the capitalized liability. So the true capitalized liability spending was $8.6 million for the quarter. I don't have the exact amount cash environmental on my fingertips but we can perhaps disclose that going forward.
Anthony Paolone: Okay. So $8.6 million is the CapEx piece and then some other amount that would be the cash amount that ties to that $900,000 and change.
Christopher Constant: That portion of the $900,000, that's correct.
Anthony Paolone: Okay. And do you have a budgeted amount for those in 2016?
Christopher Constant: We don't disclose that. Environmental is again lumpy and it's very difficult to project exact timing and amounts that are going to be spent for that over the course of the year.
Anthony Paolone: In terms of looking forward and the potential deal pipeline and acquisitions you may make, are you focusing purely on gas stations and C stores? Or are you looking at other types of product out there?
Christopher Constant: I'm going to answer that with two pieces. Where we currently own the C, we're exploring other ways to add value through other potential uses or c- stores and/or other potential uses for those properties. When we're looking at acquisitions or external growth, I would say primarily we're still focused on the c-store sector.
Anthony Paolone: And where are cap rates or the deals that you're seeing out there that are interesting to return profiles look like?
Christopher Constant: We still see cap rates going anywhere from the high 6%s to the high 7%s. I think when we think about acquisitions, we're focused on being disciplined and seeking to add value. We're not going to acquire just for the sake of acquiring.
Anthony Paolone: So that high 6%s to high 7%s not quite there in terms of your hurdle rate? Do you need to be into the 8%s or--?
Christopher Constant: That's not what I meant by that. I meant that we're seeking to find opportunities that work for us. If something is going to be priced in a position where we're not comfortable, we're happy to take a pass on that and work on the next one.
Operator: Our next question is from Brett Reiss from Janney Montgomery Scott.
Brett Reiss: Thanks for the opportunity to ask a question or two. If electric cars garner a material share of the market, is that good, bad or are we agnostic to that?
Christopher Constant: First off, I don't see electric cars garnering a dominant market share anytime soon. Our tenants are making a significant amount of money both from gasoline sales as well as c-store sales or repair sales or other car wash sales. We still believe that there are multiple opportunities for our tenants and us as a result to make considerable income from our types of properties.
Brett Reiss: Okay. The $1 a share run rate is about 71% of your guided AFFO in 2016. What's the upper level range the Board would be comfortable in terms of a payout ratio?
Christopher Constant: Our Board meets every quarter and evaluates the current rate of the dividend. They take everything into account and then they come up with what they want to set the rate at. I'm not going to guide to a specific range there, Brett.
Operator: [Operator Instructions]. Our next question is from Guy Riegel from Ingalls & Snyder.
Guy Riegel: Question on the 42 stores in Massachusetts and Connecticut, did I get it right that you've released those? There was litigation there and is that over with and--?
Christopher Constant: Yes.
Guy Riegel: Are those properties, you mentioned it was cash flow neutral?
Christopher Constant: Yes. So the NECG lease which was entered into in 2012, there was a litigation matter which went on for a number of years. That litigation is now completely done. As a result of that conclusion of the litigation, we're able to reposition those properties. What we've said over the last two years which is what Mark referenced today, is that those properties had been cash flowing for us at the level that we felt they could support in the long term. We've moved them to what we view to be higher quality tenants and put them into long term net leases. But the overall NOI or cash flow impact for us is relatively neutral.
Guy Riegel: Okay. Another question, when you talk about trying to improve or redevelop certain of your properties that you control, could you say what percentage would be in that bucket?
Christopher Constant: We're not going to provide specific percentages or numbers right now. I think it's really too early for us to quantify the overall number of properties or percentage of the portfolio. What we can say and what Mark did reference is we continue to make progress there. We will communicate that as items are definitive and as they come online.
Guy Riegel: Okay and last question. In regard to deal pipeline, the environment that you're in, is it more competitive, less competitive, about the same as compared to the last couple of years?
Christopher Constant: I think it's just as competitive if not more competitive. There is certainly a number of investors who are pursuing our sector and I think some of that is reflected in pricing but we remain excited about some of the opportunities we're seeing and that's probably as far as I'll go on that.
Operator: [Operator Instructions]. It appears there are no further questions at this time. Mr. Constant, I would like to turn the conference back to you for any additional or closing remarks.
Christopher Constant: Thank you. Thank you all for joining us. We look forward to being with you at the end of the first quarter.
Operator: That concludes today's conference. Thank you for your participation.